Operator: Good day, ladies and gentlemen, and welcome to our Fourth Quarter 2014 Mettler-Toledo International Earnings Conference Call. My name is Dustin, and I will be your audio coordinator for today. [Operator Instructions] I would now like to turn our presentation over to your hostess for today's call, Ms. Mary Finnegan. Please proceed, ma'am.
Mary T. Finnegan: Thanks, Dustin, and good evening, everyone. I am Mary Finnegan. I'm the Treasurer and responsible for Investor Relations at Mettler-Toledo, happy you are joining us tonight for the call. I am joined here by Olivier Filliol, our CEO; and Bill Donnelly, our Executive Vice President. I need to cover just a couple of administrative matters. This call is being webcast and is available for replay on our website. A copy of the press release and the presentation that we will refer to is also available on the website. Let me summarize the safe harbor language, which is outlined on Page 1 of the presentation. Statements in this presentation, which are not historical facts constitute forward-looking statements within the meaning of the U.S. Securities Act of 1933 and the U.S. Securities Exchange Act of 1934. These statements involve risks, uncertainties and other factors that may cause our actual results, levels of activity, performance or achievements to be materially different from those expressed or implied by any forward-looking statements. For a discussion of these risks and uncertainties, please see the discussion on our recent Form 8-K. All of the forward-looking statements are qualified in their entirety by reference to the factors discussed under the captions Factors Affecting Our Future Operating Results in the business and MD&A analysis in our Form 10-K. One other item. On today's call, we may use non-GAAP financial measures. More detailed information with respect to the use of and differences between the non-GAAP financial measure and the most directly comparable GAAP measure is provided in our Form 8-K. I will now turn the call over to Olivier.
Olivier A. Filliol: Thank you, Mary, and welcome to everyone on the call. I will start with a summary of the quarter and then Bill will provide details on our financial results and guidance. I will then have some additional comments before we open the lines for Q&A. The highlights for the quarter are on Page 2 of the presentation. We are pleased to end the year with very solid broad-based sales growth in the fourth quarter. Local currency sales increased 6%, above the expectations we outlined with you the last time we spoke. Europe's growth was better than expected and it's particularly impressive given the very strong growth in the year earlier period. Americas continues to perform quite well and Asia/Rest of World also had solid growth. For China specifically, sales growth was on target with our expectations. Our margin enhancement and cost control initiatives continue to yield benefit, which contributed to our margin improvements and EPS growth in the quarter, this despite currency headwinds. While there is economic uncertainty in certain regions of the world and recent currency movements will create greater headwinds than we had expected, we feel good about our outlook for 2015. I will have some further comments on 2015 later on the call, but now will turn it to Bill to cover the numbers.
William P. Donnelly: Okay. Thanks, Olivier, and hello, everybody. Sales were $697.4 million in the quarter, an increase of 6% in local currency. On a U.S. dollar basis, sales increased by 2% as currency reduced sales by 4% in the quarter. Turning to Page 3 of the presentation. We outline sales by geography. In the quarter, local currency sales increased by 6% in both Europe and the Americas, and increased by 5% in Asia/Rest of World as compared to the prior year. For China specifically, local currency sales increased by 1% in the quarter, which was in line with our expectations. The next slide provides full year sales, which increased 5% in local currency. By region for the year, sales increased by 5% in Europe, 6% in the Americas and 4% in Asia/Rest of World. Turning to Slide #5, we outlined sales growth by product line for the quarter. Both laboratory and industrial increased by 6% in local currency, while food retailing was up 4%. For the year, which is on the next slide, laboratory sales increased by 6% in local currency, industrial sales by 4% and food retailing by 2%. Turning now to Slide #7, let me walk you through the key items in the P&L. Gross margins were 56.5%, that's 160 basis point increase over the prior year margin of 54.9%. We're obviously very pleased with this increase, which was driven by the benefit of pricing and lower material costs. Specifically, net realized prices increased by about 230 basis points while our material costs declined by 270 basis points. R&D amounted to $31.3 million, a 7% increase in local currency, while SG&A was $186.8 million, an increase of 8% in local currency. Higher variable comp and increased investment in our field organization were offset in part by cost-saving initiatives and lower employee benefit costs. Adjusted operating income amounted to $176.3 million in the quarter. That represents a 7% increase over the prior year amount of $165 million. Our operating margins were 25.3%, an increase of 120 basis points over the prior year. We estimate that currency reduced operating profit growth by about 3% or $4.5 million in the quarter, while foreign exchange hurt operating profit by 3%. It actually helped our operating margins by 40 basis points. This is because the percentage impact of currency on the sales line was larger than the impact on operating profit. A couple of final comments on the P&L. Amortization amounted to $7.6 million in the quarter, while interest expense was $6.9 million. Our effective tax rate continued to be 24%. Fully diluted shares for the quarter were $29 million, which is a 4.4% decline from the prior year, reflecting the impact of our share repurchase program. Adjusted earnings per share was $4.24 per share. That's an increase of 11% over the prior year amount of $3.82 per share. Currency proved to be a greater headwind than we expected, reducing adjusted EPS by approximately 3% in the quarter. Our guidance had assumed a 2% currency headwind on EPS growth. On a reported basis, EPS was $4.17 per share as compared to $3.63 in the prior year. Reported EPS includes pretax restructuring charges of $1.5 million or $0.04 per share, which is primarily employee-related costs. Reported EPS also includes $0.03 of purchased intangible amortization. The next slide provides details on full year 2014 results. Specifically, local currency sales increased by 5%, while operating profit was up 7% and adjusted EPS grew by 11%. We're particularly pleased with the operating margins, which exceeded 20% for the full year, and for the full year currency reduced EPS growth by about 3%. Now let's talk about cash flow. Free cash flow in the quarter amounted to $107.8 million, a 26% increase on a per-share basis as compared to the previous year. We continue to benefit from good working capital management. In particular, DSO improved 3 days to 40 days as compared to the prior year. We're very pleased with the level of DSO. ITO ended the year at 5x. For the full year, free cash flow was excellent. It amounted to $343.5 million as compared to $284.6 million in the prior year. This is a 25% increase on a per-share basis. Importantly, it represents a 100% net income conversion, a level we're very pleased with. Now let's talk about guidance. Forecasting is challenging as several factors need to be considered this quarter and for 2015. First, we're coming off a strong finish to 2014 with sales growth and margins better than expected. Second, we continue to feel very good about our market position and our execution. Third, we are well on track with our field turbo program, which will meaningfully increase our front-end resources in 2015. And offsetting these positive influences is increased uncertainty in the global economy and greater volatility in foreign exchange and financial markets. It's difficult to determine at this stage what impact this volatility and the uncertainty will have on customers' decisions around equipment replacement cycles and new investments. With this as a framework, let me cover the specifics. We expect local currency sales for the year to be in the range of 4% to 5% -- local currency sales growth to be in the range of 4% of 5%, in local currency. That's unchanged from the last time we spoke. As you are aware, we're facing greater currency headwinds, however, to earnings growth. We now expect currencies to reduce adjusted EPS by about 4% as compared to a 1% headwind that we outlined on our last earnings call. The 2015 currency headwinds includes the benefit of the foreign [ph] exchange contracts that we disclosed on our press release the day the National Swiss Bank removed the Swiss franc floor to the euro. The hedges were put in place to mitigate our forecasted Swiss franc versus euro exposure in 2015 and to a lesser degree, our forecasted exposure in 2016. While the Swiss franc versus the euro is our largest currency exposure, we have many other currencies which have moved against us since November. In addition to the 4% EPS currency headwind in 2015, as the hedges roll off over the next 2 years, we'll face an additional 1% EPS headwind in 2016, an additional 2% in 2017. Of course, all these estimates assume rates do not change from today's levels. That gives you some additional color on currency. With respect to our guidance, we now expect adjusted EPS to be in the range of $12.70 to $12.90, that's an increase of 8% to 10%. A couple points worth highlighting in this guidance. First, this reflects a growth, excluding currency, of 12% to 14%. Our previous guidance that we gave in November was a growth rate of 11% to 13%. This incremental earnings growth, the 12% to 14% as compared to the 11% to 13%, reflects the first steps we are taking to offset the medium-term headwinds from the Swiss franc. Now turning to the first quarter. We would expect local currency sales growth to be in the range of 4% to 5%; we expect adjusted EPS to be in the range of $2.13 to $2.18, that's a growth rate of 7% and 9%. Currency is more of a headwind in Q1 as we expect EPS to be reduced by 5% in the quarter as compared to 4% reduction for the full year. One additional comment on currency for your models. We expect currency to reduce sales growth for the full year by approximately 7%. For the first quarter, we would expect that amount to be about 8%. Okay, let me make some final comments on guidance before turning it back to Olivier. We've provided you with our best estimates for 2015, but acknowledge we face more unknowns today than we might have in the recent past. Currency rates, in particular, are very volatile and there are questions on economies in various regions throughout the world. I know there is a tendency for you guys to move to the top end of our guidance range. I think given the uncertainty and volatility we described, it's prudent to take our guidance as a range. That's it for my side. And now I want to turn it back to Olivier.
Olivier A. Filliol: Thanks, Bill. Let me start with summary comments on business conditions and then I will make some additional comments on currency, and also provide an update on our key strategic initiatives for 2015. Lab increased 6% in the fourth quarter with most product lines showing good growth. For the full year, Lab sales were also up 6%. We continue to execute quite well in our laboratory business. The combination of strong product pipeline and Spinnaker sales and marketing initiatives. I expect results in 2015 to continue to be solid in Lab. Industrial increased 6% in the quarter. Product inspection grew 4%, which was modestly lower than we had expected due to timing of certain orders, but represents good growth considering very strong sales in the year earlier period. For the full year, sales in product inspection were up 6% and the outlook for this market is favorable given the focus on brand protection in general, and food safety in particular. We are well positioned in this business with strong relative market share, the most extensive product portfolio and the largest service network in the industry. We expect product inspection to continue to have good growth in the coming years. Core industrial was better than expected with a growth of 7% in the fourth quarter with good growth in all regions. For the full year, core industrial increased 4% and we would expect low single-digit growth in this business for 2015. Finally, retail was up 4% in the quarter with very strong growth in Europe, offsetting a decrease in the Americas due to the timing of project-related activity. For the full year, local currency sales and retail increased 2%. Now let me make some additional comments by geography. Local currency sales in Europe increased 6% in the quarter, better than we expected. We had solid growth in laboratory, product inspection and core industrial and very good growth in retail in the quarter due to the timing of project activity. For the full year, Europe increased 5%. We will face strong competitors in Europe this year and are cautioned -- cautious given recent news. However, we continue to execute very well and are capitalizing on our Spinnaker sales and marketing initiative and strong product pipeline in this region. Americas had another good quarter with sales growth of 6%. Lab, product inspection and core industrial did very well. For the full year, sales were also up 6% in the Americas. Our outlook for Americas remain solid. Asia/Rest of World increased 5% in the quarter. China came in as expected with a 1% sales growth. We had good growth in our core laboratory offering in China, while industrial was down slightly in the quarter. For the full year, sales were up 1% in China. In general, China remains on track with our expectations. We remain cautious given the overcapacity in certain segments but expect better growth in China this year, principally, due to easier comparisons. One final comment on the quarter. Service had excellent growth in the quarter with revenue up 11% as compared to the prior year. For the full year, local currency service revenue increased 8% with good growth in all the geographic regions and in most product lines. We are seeing the results of our investments and initiatives to globalize and harmonize our service offering. We are pleased with this strong finish to the year and expect continued good growth in service. Let me now cover the topic of currency. Specifically, the strengthening of the Swiss franc, principally against the euro. Historically, these currencies were tightly correlated, which provided a natural hedge for us. With the financial crisis in 2009, this correlation began to weaken and we began to take steps to reduce our core structure in Switzerland. The actions by the Swiss National Bank in establishing a floor provided us time to take actions, which included moving our logistics hub to the Netherlands, shifting certain IT resources to Poland and moving certain back office functions to Poland and India. Now with the January move by the Swiss National Bank to abandon the floor, we will need to take additional steps to reduce our cost structure. We will utilize sourcing changes and further control of discretionary expenses to help mitigate the impact in the short term. On a longer-term basis, we are reevaluating our cost structure to determine what additional actions we can undertake. The advantages of having the foreign currency hedges in place for this year and in 2016 is that it provides us time to determine the best course of action. That is probably all I want to cover on this topic at this point, but we will provide additional insights as our plans are formulated and communicated internally. Let me now update you on some of our key strategic focus areas for 2015. First, progress on our field turbo program is quite good. We covered the details on our last call, so I won't take too much time on this topic today. As a reminder, we expect to add about 200 front-end resources over the next 12 months also. Hiring and training are underway and we are optimistic that the growth opportunities can be realized. We also have plans to expand the program late in 2015 if the market environment continues to improve. Our Spinnaker sales and marketing programs continue to generate tangible paybacks. Our sales and service organizations have their detailed plans for marketing campaigns for 2015 and I'm happy with the level of lead generation. A current focus under our sales and marketing umbrella is the formation of a group leads nurturing factory. This is a small team that supports sales organizations in nurturing cold leads. Automated e-mail marketing campaigns are designed and then follow-up is done once the lead has moved from cold to warm status. We are leveraging sophisticated lead scoring and routing methods that allow us to have very personalized e-mail content and activities. The nurturing factory was created in the fourth quarter of last year and our pilot work in this area indicates that we can meaningfully improve cold leads that we convert to warm potential. This allows us to focus our sales force on higher value leads, thereby, raising their effectiveness. And now the focus area in 2015 is sales territory optimization. We are providing more central support to our local units in terms of analyzing sales target potential, classifying accounts in terms of ABC potential, developing non-visiting customer campaigns and optimizing service technician activities. This is a lot of blocking and tackling, but we feel that it must be constantly done to ensure sales force optimization. At the same time, we are also enriching our contact database. The Spinnaker sales and marketing focus in areas in 2015 will help to further improve our sales and marketing efficiency. Turning to our technology leadership. Our new product pipeline is more robust than ever. For example, by the end of this year, we will have replaced and/or upgraded approximately 75% of our lab balance product portfolio. This includes upgrades to our high-end balances, which we undertook last year and will include upgrades to our basic weighing offering later this year. We're also introducing a new entry level moisture analyzer, which is specifically targeted to emerging markets. Moisture analyzers are primarily used in food industry to control manufacturing processes and ensure optimum product quality. With this new offering, we provide basic functionality at cost effective price. As emerging markets continue to focus on food quality, we felt it was an opportune time to upgrade our offering in this product category. Product inspection is another product area with meaningful new product launches. Last year, we began to launch of our new generation checkweighers, the C3000 system. It provides highest throughput and performance and most accurate high-speed weighing available in the market today. It has a very robust solid frame, yet a flexible design that allows it to be adapted into almost any packaging line. Comprehensive diagnostic tools enhance uptime and strong return on investments. And we have incorporated best-in-class safety features that put customers well ahead of current requirements. Initial customer response is strong, and reinforces our reputation as a leader in this market. We are also launching our new generation of metal detectors, the Profile Advantage. This instrument incorporates a breakthrough technology that is up to 50% more sensitive than our previous offering and this is essentially effective in the more challenging food applications. This is critical, not only to support compliance with food safety standards, but also to further enhance brand protection. Importantly, because of reduced validation requirements, it increases manufacturing uptime, thereby, also offering strong return on investments for food manufacturers. These are just a few examples of many new products we will have in 2015. We recognize the importance of technology innovation to reinforce our market leadership position. Our margin initiatives also remain well on track. We had good pricing results in 2014 and expect continued momentum in 2015 with a target of 150 basis points of pricing. A lot of work goes on behind the scenes for our pricing success and I'm confident it will continue this year. Our supply chain continues to benefit from the additional integration and transparency gained from Blue Ocean. Material costs were down approximately 2% in 2014, and I would expect material costs to be down again in 2015. Finally, we are increasing our focus on reducing the complexity in our product development processes. We are still in the early phases of this initiative, but expect over time to gain efficiencies by driving more standardized processes for R&D and engineering. That concludes our comments for today. Let me summarize key messages for 2015. Our momentum remains pretty good, but we are cautious on the global economy as pockets of uncertainty exists. In particular, our performance in Europe ended the year on a strong note despite some weaker economic data. Emerging markets are showing improvements, but are still below their long-term growth potential. Overall, however, we believe we are well-positioned to continue to gain market share by capitalizing on our field turbo investments, our ongoing sales and marketing programs and a strong product pipeline. Our continued focus on margin enhancement initiatives, combined with our strong cash flow generation and share repurchases should continue to drive earnings growth in 2015 and beyond. I want, now, to ask the operator to open the line for questions.
Operator: [Operator Instructions] Our first question comes from the line of Tim Evans with Wells Fargo.
Timothy C. Evans - Wells Fargo Securities, LLC, Research Division: Would you be willing to comment a little bit on your tax rate expectations and share repurchase expectation for 2015? And I guess, I'm just thinking here that with significant foreign exchange headwinds, just want to make sure that we're modeling the operating margin correctly, so kind of trying to back into that.
William P. Donnelly: Sure. So in terms of the tax rate, you can expect it to be at around the same 24%, absent some changes in tax legislation. The reason for that has to do with our -- maybe that's -- I don't mean to make it too complicated, but our tax strategy moves a lot of money to the manufacturing side as a general statement and this should -- so the mix of income won't change that much in that sense, and we have income growth. So that would be the first comment. Then the second comment was with regard to the share repurchase program. Our free cash flow for the full year next year is in the, let's call it, $350 million range. I think you can assume we'll repurchase somewhere in the area of $450 million to $475 million.
Operator: Our next question comes from the line of Brandon Couillard with Jefferies.
S. Brandon Couillard - Jefferies LLC, Research Division: Olivier, just in terms of your outlook for next year, I mean, you seemed to exit with a lot of momentum in the fourth quarter, yet it sounded like some of your commentary might suggest that you're perhaps incrementally more cautious. I mean, what are your leads in quoting activities telling you about Europe right now? And how would you characterize, I guess, the level of confidence in the outlook?
Olivier A. Filliol: The team actually feels good. And early indicators that we have also continue to be good. I think the comments that we made about uncertainty is definitely coming from the economic environment in general and some recent events that took place in Europe, but also currency related things that could have an impact on the economy. But looking at what we see internally, actually I remain very positive. I commented before how well the team executed in Europe last year on all the sales and marketing initiatives, and I continue to be very bullish on that end for this year. And I certainly also expect that the field turbo will start to kick in and help us. So everything that we control, I feel very positive. The part that we don't control brings the cautiousness in my statements.
S. Brandon Couillard - Jefferies LLC, Research Division: On the new product pipeline, I mean, should we think about that as being accretive to the top line? And if I think about just lab balances in general, I mean, are new product launches enough to drive a replacement cycle?
Olivier A. Filliol: The way you need to look at all this new product, there are always enhancements to previous products that we have, so in that sense we are not creating new product categories. This new product allow us to further distance ourself from competition. It allows us to raise prices, it allows us to win market share. But this doesn't happen overnight and it's not that we launch a product and then we immediately see it in the top line happening, it's happening over time. And I'd say, it's part of the strategy to outgrow the market and to increase our margins. And the fact is, however, that I feel really very strong about our product portfolio overall. We have done a lot of investments over the last few years to upgrade and so we have a very modern and a very advanced product portfolio. I mentioned before, lab, for example PI is also very strong. This is an enable for us to work -- to win the market shares.
Operator: Our next question comes from the line of Paul Knight, Janney Capital.
Paul Richard Knight - Janney Montgomery Scott LLC, Research Division: I sense, Bill, when you said the range, you said is a real range this time. And I guess, Olivier, your comments on the outlook, is this 80% related to the currency volatility in the world? Or are there signs within backlog that it's just not growing? Any fundamentals that most of us in New York don't see?
William P. Donnelly: Maybe I'll start and let Olivier. So I think the first comment it is more kind of walking you through the kind of the EPS roll, let's call it. So you -- we beat the consensus and guidance in the fourth quarter by about $0.09, I believe. And we added that to the 2014 previous guidance. Then we subtracted off this incremental 3%, that headwind that we had from how currencies moved since November. And then we reduced that for the fact that we're already got to start doing some actions. And I think, which we maybe can't tell you today every single one of those actions that are going to add up to that leap we have. And so therefore, we think it's important in that sense that, hey, there are some margin in -- there's more than the normal Mettler 5, 10, 15 margin enhancement. We've got a little extra here because of the currency headwind in that sense. That maybe be the first comment. Second comment would be that from a backlog perspective, we do have more backlog entering 2015 than we did entering 2014. I -- maybe you would make the distinction that the one interesting piece that's maybe that's not true for is our Chinese business as we talked about little bit on the last quarter. They've been kind of closing out some of the larger jobs and so they have a little bit less. While their short-term business has been holding up well, we have less of the big project piece. But overall, I'd say, because the short cycle piece is the main one driving kind of current activity and the short-cycle piece all looks pretty good. And then the last thing is we always talk to you guys about our business as a replacement business. And we like when our customers have a stable financial markets, stable currency markets, stable business. And they're likely going to continue on their normal replacement cycle. So anytime we see increasing uncertainty and increasing volatility in these markets, we're always get little bit more cautious in terms of what's that got to mean for some of our customers in terms of how they think about their replacement cycle, how they think about their investment plans. To connect that to what Olivier said, if we look in our business today, backlog's good, leads look good, competitively, we feel very strong, product portfolio is going well, field turbo program's off to a great start. But there is the customer considerations and we'll have to see how this thing plays out over time. I -- we thought a lot about the guidance and we felt that, that added wording I gave you was appropriate. But I don't want to be overly dramatic about it either, Paul.
Paul Richard Knight - Janney Montgomery Scott LLC, Research Division: With this 4% growth in the year, what's the growth rate within service, consumables and software?
William P. Donnelly: The software piece is relatively a small number. So it's probably not worth adding that piece, but maybe I'll let Olivier comment on the...
Olivier A. Filliol: Yes. And the way we look at software is really part of the solution that we sell with the hardware. We hardly have any software-only revenue. But coming back maybe to service, so service had an 8% growth in the quarter, really good. And actually, also for the full year was very strong. And consumables was actually also good overall. I am definitely very pleased as I made comments before, we have made pre-investments over the last years in service. We have invested heavily in harmonization, we have developed new service product, we have invested in additional service sales, campaigns, but also resources. And they paid off nicely and in that sense, I expect that service will continue to do better than product sales and in that sense I have also a good confidence for 2015. But the 8% growth in last quarter was really exceptionally strong.
Operator: Our next question comes from the line of Isaac Ro with Goldman Sachs.
Isaac Ro - Goldman Sachs Group Inc., Research Division: On China, I realize the easing comps are part of the tailwind that you expect for 2015. But I was curious if you could maybe identify any specific end markets where you're starting to feel a little better? Or at least have a line of sight on better orders?
William P. Donnelly: So maybe a couple areas, we would -- hey, maybe right now to talk about orders, I wouldn't give you any, I think it would be misleading -- imply, I could name a couple of large orders. But I think they wouldn't be material in that sense to our overall results. But in terms of where we expect either continued good growth or in some cases, improved growth, I would highlight, in particular, we think Lab will have another good year. Lab grew double digit for us in China in 2014. We would be surprised if it didn't grow at least high single digits and probably will grow double digits again in 2015. Our process analytics business, I would highlight in particular, had -- we had talked about it with you guys in the past that they had a double digit decline in 2014 in part due to some environmental regulation benefiting earlier years. Our expectation is for good growth there in -- we think, high single digits, double digit kind of growth in the process analytics business for next year. Maybe the big piece of the business, the one that accounts for about half of our business in China is our industrial business. We do think that the easier comps are going help the industrial business. We think that if that business even grows low single digits next year -- sorry, this year, 2015, that should mean our overall business grows in China mid-single digits, hopefully, even better. But let's just call it mid-single digits for now. And we think that, that's a reasonable expectation given comps and other considerations. But we are alert to -- it's the more -- it's the most economically sensitive piece of our business down there, and there are some good signs some months, some bad signs other months, in terms of Chinese industrial. But we continue to think '15 will be a better year than '14 in terms of our China business and we think we can grow mid-single digits.
Isaac Ro - Goldman Sachs Group Inc., Research Division: Okay, that's really helpful. And then just second item was on pricing, you had, obviously, very strong 2014, realizing some solid price. Was curious what was baked into your guidance this year, more or less versus 2014. And as part of that equation, was curious if you can talk a little bit about on the gross margin line. How should we think about the flow through of lower oil prices through your cost of goods and what are the combination of pricing and lower oil prices might help the gross margin story for this year as well.
William P. Donnelly: Okay. So in terms of our gross margin, we'll have continued expansion on a constant currency basis. And in terms of on a -- and that will be, what's the word I'm looking for, even elevated a little bit because of the impact of foreign exchange. So we talked on the call earlier, Isaac, that there will be a 7% top line shrink due to foreign exchange. So part of the offset of that, because obviously, the impact on OP is not as much, is on the cost of sales line. So maybe it's best to speak in constant currency terms. So maybe if I start with pricing, we had built in about 150 bps into pricing. I think that we -- that's a little less than what we had in 2014, in part driven by an environment with less inflation to talk about, which makes it a tougher discussion with our customer base. We are going to certainly use pricing as one of the -- pricing will have to be one of the things we'll work hard on to help to offset some of the currency headwinds we see overall, but I think it would be difficult to quantify that at this stage. Maybe with regard to your comment on raw material costs, probably the biggest impact of lower oil prices to us will be just a little bit less gasoline cost for our service technicians. I'd maybe highlight that or just as a reminder, because we have actually more service technicians in Europe than we do in the United States, but maybe the gasoline price reductions that we see in the United States are not the same in Europe in euro terms. But we will get some benefit there, I think, Mary and I had estimated earlier, may be in the range of $0.5 million to $1 million. Now maybe if I think about, like, oil in terms of resin cost and things like that, it really won't be material. But as Olivier's -- that item won't be material -- but as Olivier said, material costs overall, we should be able to get them down, I think, in the range of maybe 1% at this stage, hopefully, 1.5%.
Operator: Our next question comes from the line of Ross Muken with Evercore ISI.
James Clark - Evercore ISI, Research Division: This is James Clark on for Ross. Just a question on Europe, it sounds like you continue to see a bit of a mismatch between your business and some of the macro headlines we're seeing come out of the region. I guess, I'm wondering if you could give some details on maybe Lab balances and core industrial, some of the other businesses where you tend to see a bit of a lead with the macro changes?
William P. Donnelly: So hey, in terms of our European business, as mentioned, we did quite well. I think 6% is an excellent number. I think in particular, if you think about the fact that within that number is Russia, which was down around 20%. I think excluding Russia, I think our European business was up in the range of 7%. Then in terms of maybe the breakdown, we had, in the fourth quarter, good growth in all the businesses, including even good growth in the retail business. We had a good year in retail actually, in Europe, with some projects in the first quarter of '14 and some projects still being delivered in the fourth quarter as well. But overall, a good year. So hey, I don't have -- I'm kind of literally looking at product line growth in Europe in total and we didn't have anybody worse than 3% and we had a couple of double-digit guys. So I think pretty solid numbers up and down the line in Europe.
Olivier A. Filliol: It's actually worth to mention, we had this 6% growth against a strong previous year comparison. Actually, in Q4 2013, we had 8% growth in Europe. So it is just reinforcing the point that the team executed actually really well and executed well across all product lines and across also service.
James Clark - Evercore ISI, Research Division: Okay, that's helpful. And then, maybe a follow-up, I think, you guys spent some time talking about some of the levers you have to offset the impact of the FX headwinds. I'm just sort of wondering how you think about some of the investments you've laid out, whether it's new products or the field turbo programs or the growth of the service business, how do you think about those priorities relative to areas where you can potentially cut back and try to offset some of the headwinds through FX?
Olivier A. Filliol: I look at these 2 things really separate. One is the offensive measures. The offensive measures like the investments in field turbo service sense [ph] one in really capturing the weight -- the growth weight. We have talked in about it at previous occasion. I feel that there is reasonable momentum in the market and I want to make sure that we capture that momentum and it's the opportunity for us to selectively invest in the front end for that. This is not impacted by this currency situation and we want to make this investment, we want to make the investment in the franchise. On the measures around FX, this is -- we have a couple of things that we need and want to do really short-term and this is related to purchasing supplier based and the pricing topics that Bill was talking and then selective discretionary spending that we have. But all of these should not have any impact on the growth-related initiatives that we have. And then, the more long-term things are more structural that should also not have an impact on the growth momentum. It should also not have an impact on our product pipeline.
Operator: Our next question comes from the line of Derik De Bruin with Bank of America Merrill Lynch.
Derik De Bruin - BofA Merrill Lynch, Research Division: The -- just out of curiosity, is the weaker currency environment for some other countries causing some of your competitors to be more aggressive, particularly since you're raising prices in some areas?
Olivier A. Filliol: I would say, out of Europe, I'm not so concerned. I think, in general, these are disciplined and reasonable competitors. In general, I would also say, most of our competitors don't have that high profit margins. So I don't think they will take advantage of the situation and be particularly aggressive. I haven't seen that in the last few years. The ones that we need to watch a little bit are the Japanese competitors that we have, we call maybe in Japan, for example, and it's the one in market where we have a local competitors for our Lab product. So there we have [indiscernible] separate situation where our pricing power is impacted by the local competitors. And then, for the product inspection business, we have some Japanese competitors that also operate globally and particularly in rest of Asia that we need to monitor. But here, I'm not worried that this will negatively impact our market shares across the globe.
Derik De Bruin - BofA Merrill Lynch, Research Division: Great. And I was writing and I sort of missed it, but could you revisit your comments about what happens in '16 and '17 when the hedges roll off? I believe you said a 1% EPS hit and 2% EPS hit?
William P. Donnelly: So -- yes, next, we'll have, again, all things staying equal, the impact of the hedges rolling off, because we have a little less of '16 hedged than '15, is 1% headwind in '16 and then another 2% when all the hedges roll off by the end of '16, so into '17.
Derik De Bruin - BofA Merrill Lynch, Research Division: And that's on the EPS line, not on the top line?
William P. Donnelly: Correct. That's an EPS comment.
Derik De Bruin - BofA Merrill Lynch, Research Division: Okay. And so always impressed that you sort of you take advantage of situations and are proactive and do this and you clearly had plans in place to move some of your other manufacturing and some of your infrastructure around out there. So could you just refresh us in terms -- our memory in terms of what you're certainly manufacturing for [indiscernible]? How much you still have to move, just some comments on some of the actions you could potentially take on those and just how much more there is to go?
William P. Donnelly: Hey maybe just to give you kind of some ballpark numbers, and I want to make sure I say these right way. So let's say, our net operating expenses in Swiss francs are in the area of CHF 280 million -- CHF 255 million. Yes, CHF 255 million. And I -- there's some things, I pick the examples like clearly, our supplier base in Switzerland will, if we have an alternative supplier in euro, he suddenly became 15% more cost effective. And there are other things we can do in areas like printing and stuff like that. In terms of maybe comments around manufacturing footprint and things like that, I think that, that's premature to talk about, anything there specifically. We -- if you -- and Derik, you have seen our operations in Switzerland, it's not like we're vertically integrated there, it's high-end assembly operations, mostly on businesses where it's important to have manufacturing close to R&D. So I mean, we're continuously looking at our businesses in Switzerland and globally to become more efficient. I don't necessarily think that we feel like we need to solve this problem all within the confines of Switzerland. It's a thing we'll work on as a team kind of globally and we're, as you pointed out, we're on top of it already. We spent the last few weeks talking about that. We have some answers, but not all the answers. But we're determined to continue to be a highly competitive company and so we're continuously looking at cost productivity measures.
Operator: Our next question comes from the line of Tycho Peterson with JPMorgan.
Tycho W. Peterson - JP Morgan Chase & Co, Research Division: Either Olivier or Bill, I'm wondering if you can give a little bit of color on just your growth expectations by segment for lab, industrial and food retail for this year.
William P. Donnelly: Okay. Okay, so sorry, getting the right sheet in front of me. So in terms of the Lab business, we think that we had a great year in 2014 and think that it is very realistic to put up a mid-single-digit growth number on top of that. If I look at our product inspection business, we would have expectations higher than that. That should be a business that grows high single digits, whereas our core industrial business is probably going to be kind of on that borderline between low single digits and mid-single digits. But together, I think the overall industrial business should be in the mid-single-digit range. And then, as usual, we're not assuming much growth coming out of the retail business. I think we built in around 2% or something like that.
Tycho W. Peterson - JP Morgan Chase & Co, Research Division: Okay. And then, I guess, as we think about the growth you highlighted in service, I mean, you've been talking for a while about the opportunity to increase the attach rate there. Is this a result of incremental investments you've made? Or how do we think about the potential going forward on that business?
William P. Donnelly: We -- certainly, it's -- we're really happy with what we saw in 2014. We think we can continue to grow the service business faster than the product business, particularly in the core segments where we really want to be able to control proprietary service. And there's a lot of things we're doing from a sales and marketing perspective to make that happen in general and as part of the Blue Ocean program as well. So we hope that, that's a multi-year trend that you're going to see in the business over the medium-term that we're going to have good growth, sales growth and good profit growth within our service business.
Tycho W. Peterson - JP Morgan Chase & Co, Research Division: Okay. And then on China, you've talked about the shift from infrastructure to pharma, food, biotech and chemicals. As we think about your level of investments there, are there incremental investments you need to incur throughout '15 to kind of capture the shifting growth dynamic?
William P. Donnelly: I think, if you go back to some of our business exits that we did, I think that was early in '14, end of '13. Tycho, we exited some industrial businesses. We probably moved, in effect, changed out about 100 people net basis. And we really made a lot of those efforts in terms of making sure the sales force within China was well aligned to the markets you mentioned and as well, expanding our scope in the West. We think that the biggest piece to that was already done, but it will be something we'll continue to invest in going forward. And if we think about the field turbo program or our market penetration efforts that we've talked about earlier, I think you will -- that applies to China as well and we'll continue to move front-end resources in those directions and as well as product development efforts.
Operator: Our next question comes from the line of Richard Eastman with Robert W. Baird.
Richard C. Eastman - Robert W. Baird & Co. Incorporated, Research Division: Olivier or Bill, was Europe above plan at that 6% local currency growth if you pull out food retail? In other words, industrial labs, do they come in kind of at plan with the upside out of food retail?
William P. Donnelly: Hey, particularly, yes, -- the short answer is yes, and particularly, if you think about Russia.
Richard C. Eastman - Robert W. Baird & Co. Incorporated, Research Division: Okay, so Russia was down 20%?
William P. Donnelly: And Russia has no -- basically no retail.
Richard C. Eastman - Robert W. Baird & Co. Incorporated, Research Division: Okay. All right. And then, what portion of revenue is consumables at this point? And how did they fare in the quarter? They must have been up very high double digits.
Olivier A. Filliol: So consumables in Q4 was about 6%. And in terms of growth, we are just looking it up.
Richard C. Eastman - Robert W. Baird & Co. Incorporated, Research Division: Okay. Because your reference earlier was -- service and consumables was plus 11%, service was plus 8%, so consumables had a big quarter. Is that a -- is there any trend there? Or new product driver? Or just a...
Olivier A. Filliol: Hey, for example, our Pipette business did well in Q4. And of course, the Pipette business has a significant share of consumables. So I would certainly expect that this was a part of the explanation.
Richard C. Eastman - Robert W. Baird & Co. Incorporated, Research Division: Okay, okay.
William P. Donnelly: And I could confirm what Olivier said, and as well, our sensor business and a number of other areas. I think if I look at the full year, maybe a little bit less in the fourth quarter, but if I look at the full year numbers, for example, our Quantos consumables also had a good...
Richard C. Eastman - Robert W. Baird & Co. Incorporated, Research Division: Okay, okay. And then, In terms of the field turbo program, I think the target was to add 200 people, I think, by the end of calendar '15. And so maybe, can you just update us, I mean, how far along are we in terms of adds there, kind of front-end adds you speak? And then also, is that weighted to -- initially weighted to any geography or product line?
Olivier A. Filliol: Let me take the second part first. So we -- this time, we do this actually really globally, it's not just emerging markets. We go off to under penetrated markets and where we feel we can win market share. So there are adds in Europe as well as in Americas. When I look at Europe, it's certainly particularly weighted with Eastern Europe, you have Turkey and some other countries, but it's not just emerging markets. We also did a couple of investments in mature markets. And then, we look at product categories, we focus on product categories with the highest profitability. So you would certainly see lab, product inspection and process analytics getting an overproportionate number of these resources. Service is also part of it that we certainly invest. Then there is a few additions that are cross business. For example, we invest more in key account management and there, we typically cover multiple divisions. In terms of progress, actually we have, on a regular base, we have these dashboards that show us the progress. We had the last one in December. And I was actually pleased to see that we have actually made progress already in recruiting on on-boarding people. And I do actually expect that we will be slightly ahead of the plan in terms of having these people on board. So when we said we will do it throughout 2015, I wouldn't be surprised if we have a very big majority on board by mid of the year.
Richard C. Eastman - Robert W. Baird & Co. Incorporated, Research Division: Okay. And then just lastly, Olivier, any opinion on -- competitive opinion on Sartorius. Finally they sold their industrial tech division to a Japanese company that quite frankly, I hadn't heard of before. But it wasn't -- it's not been too bad to compete in that space against Sartorius. Do you think -- any thought there?
Olivier A. Filliol: I think actually, it will not really impact our strategy and our position. I think actually, it's not obvious that the strategy of that business will change to the new owner. And in that sense, I feel extra comfortable that we will continue to win market share here in that situation, too. So yes, I don't have strong feelings or worries about it.
Operator: [Operator Instructions] Our next question comes from the line of Reggie Miller with Citi.
Reginald Miller - Citigroup Inc, Research Division: Just wondering, for the front-end investments that you're putting together, I was just wondering if you had a sense of when we can kind of see that materially impacting the top line?
Olivier A. Filliol: So typically it takes 6 to 8 months before we have sales that covers cost. And if I said before, that it will take us until the mid of the year to really have the team on board. We would expect maybe late this year to start to have an impact. But to reach the full potential for salespeople, it can easily take 3 to 4 years. So I expect us to benefit from that, hopefully, in 2016 and 2017. So in that sense, it's one of the reason why we talk about investments in the midterm.
Reginald Miller - Citigroup Inc, Research Division: Okay. And the kind of order timing issues that you discussed for the retail group in the Americas, when do you expect to realize that in '15?
Olivier A. Filliol: I think it was more related to product inspection where we said there was a little bit of a timing thing. I wouldn't read too much into that. We talk here about lead times of a few weeks, so it might have moved a little bit, but this is not so material.
Operator: And we seem to have no further questions at this time. Do you have any closing remarks?
Mary T. Finnegan: Hey, thanks, Dawson [ph], and thanks, everyone, for joining us tonight. Of course, if you have any questions or any follow-up, please don't hesitate to give us a call. Have a good evening, everyone.
William P. Donnelly: Bye-bye.
Operator: And ladies and gentlemen, this concludes today's conference call. We thank you for your participation. You may all disconnect.